Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Cable One Fourth Quarter and Full Year 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Jordan Morkert, Vice President of Investor Relations. Please go ahead.
Jordan Morkert: Good afternoon, and welcome to Cable One's Fourth Quarter and Year-end 2025 Earnings Call. We're glad to have you join us as we review our results. Before we proceed, I would like to remind you that today's discussion contains forward-looking statements relating to future events that involve risks and uncertainties, including statements regarding future revenue, customer growth, connects, churn rates and ARPU, the future competitive structure of our markets, the planned expansion of our mobile service offering, new product rollouts, anticipated cost savings and other benefits to be derived from our billing system migration and our other investments in growth enablement platforms, anticipated benefits from our mobile service offering, future cash flow and capital expenditures, potential uses for our cash flows, our ability and sources of capital to fund the retirement of our 0% convertible notes in Q1, the upcoming MBI transaction, including the purchase price, MBI's future debt levels, integration timing, anticipated cost and tax efficiencies, combined leverage ratios and closing date, the anticipated timing for closing of certain asset sales as well as the merger of Point Broadband with Clearwave Fiber and expected benefits from those transactions, future tax savings and our future financial performance, capital allocation policy, leverage ratios and financing plans. You can find factors that could cause Cable One's actual results to differ materially from the forward-looking statements discussed during today's call in today's earnings release and in our SEC filings, including our forthcoming 2025 annual report on Form 10-K. Cable One is under no obligation and expressly disclaims any obligation, except as required by law, to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. Additionally, today's remarks will include a discussion of certain financial measures that are not presented in conformity with U.S. generally accepted accounting principles or GAAP. When we refer to free cash flow during today's call, we mean adjusted EBITDA less capital expenditures as defined in our earnings release. Reconciliations of non-GAAP financial measures discussed on this call to the most directly comparable GAAP measures can be found in our earnings release or on our website at ir.cableone.net. Joining me on today's call is our CEO, Jim Holanda; and CFO, Todd Koetje. With that, I'll turn the call over to Todd.
Todd Koetje: Thanks, Jordan, and good afternoon, everyone. We really appreciate you joining us today. Before I get started, I want to say how pleased we are to have Jim with us at Cable One and joining us for today's call, and I'm honored to introduce him to our stakeholders who may not yet know him. I'll begin by covering a few takeaways from our fourth quarter and full year results, then spend some time highlighting the key initiatives we are prioritizing as we look ahead and continue to build upon the transformation we've embarked on over the last couple of years. After my remarks, I'll turn it over to Jim to share his initial thoughts on the business and the operating environment, and then Jordan will walk us through the more detailed financials. Let's jump in. During the fourth quarter, residential broadband connect activity showed year-over-year growth, while disconnects improved significantly compared to the previous quarter. As a result, net subscriber results in the fourth quarter improved relative to the declining trends we experienced earlier in 2025, though net subscriber figures remained negative. We continue to operate in a challenging macro environment with competitive pressure from fixed wireless and fiber overbuilds. Against that backdrop, our focus over the last 2 years has been on equipping the business to operate in a more competitive landscape by transforming our leadership, modernizing our growth enablement platforms and redefining go-to-market playbooks. With a considerable amount of the foundational work largely behind us, our focus is on defending our existing customer base, capitalizing on profitable growth opportunities and executing on key efficiency initiatives. I'll first review residential broadband customer trends. Residential data customers declined by approximately 10,700 in the fourth quarter. Gross connect activity improved sequentially through the first 3 quarters of 2025 and meaningfully year-over-year in the fourth quarter, while disconnects improved significantly in Q4 versus the third quarter. As a result, the fourth quarter represented a step forward relative to the declining trends of the first 3 quarters of the year. While this reflects progress, it is by no means a standard we view as acceptable. The team is highly aligned and focused on driving continued improvement. A key driver of this improvement has been the continued refinement of our go-to-market approach, enabled by the completion of our billing platform transformation. We have introduced new products, pricing and offers to better serve value-conscious customers. We're also enhancing the experience for all customers through complementary services that support the in-home customer experience, including premium Wi-Fi powered by Wi-Fi 7, enhanced online security and holistic technical support for anything in the home our network is enabling. As of the end of the year, over 1/3 of our residential broadband customers were benefiting from the advanced in-home capabilities and experience delivered by our partnership with Ero, representing growth of more than 30% year-over-year. Sell-in adoption for this service exceeded 80% during the quarter as customers continue to recognize the experience enhancements we've invested in, and we mutually benefit from the improved customer satisfaction and reduced churn. Simplified pricing and clear product structures are enabling our Sparklight teams to more effectively match customers with the right offerings, deliver a more consistent customer experience across our footprint and stay competitive. At the same time, churn reduction remains a key area of focus. Competitive pressure and customer sensitivity around promotional roll-offs continue to influence customer behavior, particularly in a heightened value-conscious environment. That said, we saw meaningful improvement in disconnects during the fourth quarter, and we're applying both discipline and urgency to retention improvement measures. Turning to ARPU. Results this quarter were consistent with our expectations and in line with the stability we discussed last quarter, which was remaining within $1 of our second quarter ARPU level. As we've noted previously, some of our go-to-market customer acquisition and retention initiatives will put downward pressure on ARPU. We expect that pressure to be partially offset by continued adoption of value-enhancing products and services, including higher speed tiers, premium Wi-Fi, eero Plus, Tech Assist, our AutoPay program and other offerings that improve the customer experience. Shifting to competition, I'll start with fixed wireless, which is now essentially ubiquitous across our footprint with multiple providers. Our perspective here remains consistent. Our fiber-based wired network delivers greater reliability, higher speeds, lower latency and substantial scalable capacity for our broadband customers who continue to demonstrate growing demand for our services. In addition, our network's excess capacity allows us to offer value-conscious packages to new customers while still protecting our accretive unit economics. Utilization trends continue to demonstrate that our network is well suited to meet growing consumer demand. In the fourth quarter, average monthly data usage reached approximately 835 gigabits per customer, a new high with more than 30% of customers exceeding 1 terabyte per month. Despite this growth, peak hour downstream and upstream utilization remained at or below 20%, demonstrating that network capacity remains well ahead of demand and will not be a barrier to growth. Moving on to wired competition. Nearly 60% of our passings now face gig-capable wired broadband competition. Of that 60%, just over 50% reflects fiber-to-the-home, largely from incumbent telco providers, while approximately 10% represents markets where we are the fiber-to-the-home provider competing against an upgraded gig-capable MSO. In approximately 15% of our passings, we compete against 2 other gig-capable wired broadband providers. We are aware of the broader industry consolidation occurring across the broadband landscape. Following Verizon's acquisition of Frontier, our overlap with Frontier remains less than 10% of our footprint and a meaningful portion of that overlap has already been upgraded to fiber over the past several years. Similarly, AT&T's acquisition of Lumen's Mass Markets fiber business has minimal direct overlap with our smaller towns and communities and only a small contingent of passings in our markets were included in that transaction to our knowledge. Looking ahead, we expect many markets to settle into a structure with 2 wired multi-gig broadband providers alongside wireless options, both fixed and mobile-only as well as satellite adoption on the rural edge. Over time, we anticipate seeing an environment in which roughly 80% of households are served by wired providers with the remaining 20% served by wireless or satellite solutions. Relative to our current penetration, that structure provides a continued opportunity to grow share over the long term and generate attractive shareholder returns. We continue to make progress on our mobile initiative, moving from the concept to live pilot over the last several months. Importantly, we view this as a complementary product that strengthens our overall value proposition, increases customer lifetime value and supports both retention and acquisition within residential broadband. During the fourth quarter, we launched a mobile pilot in 6 markets, and the service is live today with a small number of customers. Our focus has been on operational readiness, ensuring provisioning, billing, customer care and field processes are fully integrated before scaling more broadly. Early feedback has been constructive, and the team is preparing for a broader launch across the footprint expected in late Q1. With the pilot complete and the necessary platforms in place, we are positioned to scale mobile in a disciplined and financially responsible manner. Turning to Business Services. We continue to broaden our commercial reach and sharpen our sales execution. During the quarter, we launched a broker and agent sales channel, expanding our go-to-market efforts into underpenetrated customer segments. Early engagement has been encouraging, and we believe this channel can drive incremental revenue and deepen our presence in targeted commercial verticals over time. Performance in our carrier, wholesale and enterprise segments strengthened. Average monthly installs during the final 3 months of 2025 increased compared to the prior year period, reflecting improved execution and growing demand across these solutions. In markets where network density and responsiveness matter most, our dark fiber and direct Internet access offerings remain strong differentiators. We're also pleased to welcome Ed Butler as Senior Vice President of Business Services effective January 2. Ed joins Cable One from Mega Broadband, one of our long-standing investments where he most recently served as Chief Commercial Officer. Under Ed's leadership, we plan to accelerate new product launches designed to expand wallet share within our existing customer base while strengthening our value proposition to acquire new customers. This proven sales leadership will play an important role in advancing our business services strategy. Turning to MBI and integration planning. As we've disclosed, the put option has been exercised, and we expect the transaction to close in October. Given that timing, we've been deliberate about using the lead time we have today to plan thoughtfully with a target towards core integration in under a year from close. MBI serves rural America with a reliable high-speed network in geographies that are complementary to our existing footprint and their local first operating model is closely aligned with our own philosophy. That strategic and cultural alignment gives us confidence in the combination ahead. To support that, we've emphasized early planning, tight prioritization and an agile approach that allows teams to move quickly once the transaction closes. We continue to believe MBI is a strong fit for our company and expect cost and tax efficiencies over time, and we believe the preparation underway today positions us well to deliver on those expectations. To close, we have made changes in growth enablement investments that better position us to execute in this competitive operating environment as we pursue the opportunities ahead. High-speed connectivity is a critical service. Demand continues to grow, and we operate a highly capable wired network with substantial available capacity. Across much of our footprint, broadband penetration remains in the low 30% range, indicating we're still under-indexed relative to what we believe is achievable over the long term. We don't inherit customers. We have to earn them. That requires a relentless focus on delivering value, experience and reliability every day. The combination of our network, our product suite and our outstanding associates, supported by our local neighborly operating model positions us to compete effectively in our markets. The work over the past several years, modernizing systems, refining go-to-market strategies and investing in our people has built a solid foundation. With that foundation in place, our focus is clear: defend our base, grow where we see opportunity and operate with discipline. We remain confident in our long-term outlook and excited about the path ahead. With that, I'll turn it over to Jim to share his thoughts on the business.
Jim Holanda: Thanks, Todd. I'm pleased to join today's call and to share a few thoughts on the business. I'm excited to be here at Cable One and have hit the ground running, spending time with the team, listening, learning and staying focused on execution. We've got a great foundation in a business I believe in, operating in markets where reliable connectivity is critical and a strong network that can scale to meet the needs of residential and commercial customers alike. This is a competitive environment, but it's also one with meaningful opportunity. We serve customers who care deeply about value, experience and reliability, and our focus is on earning their loyalty every day by differentiating our products and local service. As someone who has many years of competitive experience in the industry, I am excited to dig in and drive improvements. Importantly, we are pursuing these opportunities from a position of financial strength. We have a strong balance sheet, substantial liquidity and a business model that generates significant and durable free cash flow. That financial flexibility gives us the ability to invest in growth, reduce debt and navigate competitive cycles. I'd like to briefly highlight a few priority areas. First, deepening customer relationships. Retention is a powerful driver of long-term value, and we see opportunity to strengthen it through consistent service quality, clearer communication and offerings that provide an enhanced value proposition. Second, thoughtful expansion of our converged offerings. That includes exploring complementary services that enhance the core broadband relationship, investing in advanced in-home technologies and partnering where it improves both the customer experience and the economics. Third, how we reach and serve new customers. We'll continue to evolve our sales and service model using digital tools, data and AI in practical ways to improve efficiency, responsiveness and overall experience while maintaining the local approach that differentiates us. Across both residential and business services, we see opportunity to compete for share, deepen penetration with higher-value products and grow where the economics make sense. All of this is supported by continued investment in our network, which remains central to delivering the performance and highest reliability standards our customers expect and by ongoing commitment to disciplined debt repayment and a conservative balance sheet management philosophy. To close, I'm encouraged by what I've seen so far. The priorities are clear, the foundation is strong, and I am confident in the team's ability to execute with discipline as we look ahead. With that, I'll turn it over to Jordan, who will provide a recap of our fourth quarter and full year financial performance.
Jordan Morkert: Now turning to our financial results, touching on key Q4 metrics before discussing full year 2025. For the fourth quarter of 2025, total revenues were $363.7 million compared to $387.2 million for the fourth quarter of 2024, a decrease of 6.1% year-over-year. Residential data and business data revenues decreased by 4.2% and 1.3%, respectively. Operating expenses were $93.9 million in the fourth quarter of 2025 compared to $99.9 million in the fourth quarter of last year. The $6 million or 6% decrease was driven primarily by a reduction in programming costs as a result of decreased video subscribers. OpEx was 25.8% of revenues for both Q4 of '25 and Q4 of '24. Selling, general and administrative expenses were $92.9 million and $96.4 million in the fourth quarters of 2025 and 2024, respectively. The $3.5 million or 3.6% decrease was due primarily lower rebranding and labor costs. SG&A expense represented 25.5% and 24.9% of revenues for Q4 2025 and Q4 2024, respectively. Adjusted EBITDA of $193.9 million decreased 8.1% year-over-year, while adjusted EBITDA margin contracted 120 basis points to 53.3%. Capital expenditures for the fourth quarter of 2025 were $74 million, a 2.9% increase from the prior year quarter and included $12.7 million for new market expansion projects and $1.6 million for integration activities. Adjusted EBITDA less capital expenditures totaled $119.9 million in Q4 2025 compared to $139.1 million in the same quarter last year. Shifting to our full year results. Total revenues for 2025 were $1.5 billion compared to $1.58 billion in 2024, with $35 million of the decrease attributable to residential video. Residential data revenues decreased $24.2 million or 2.6% year-over-year due to a 5.8% decline in subscribers partially offset by a 0.6% increase in ARPU. On the business data side, revenues grew 0.35% year-over-year as growth in our fiber and carrier segments was partially offset by modest subscriber declines and pricing pressure in our SMB business. Operating expenses were $392.1 million or 26.1% of revenues for 2025 versus $416.8 million or 26.4% of revenues in 2024, with the decrease driven largely by a reduction in programming costs. Selling, general and administrative expenses were $381.1 million or 25.4% of revenues in 2025 compared to $366 million or 23.2% last year. The increase in SG&A was due primarily to investments in growth enablement platforms that are expected to generate meaningful operating and SG&A cost savings over time. Adjusted EBITDA for 2025 was $801.7 million or 53.4% of revenues compared to $854 million or 54.1% of revenues in 2024. Capital expenditures were $285.3 million in 2025, a decrease of 0.4% year-over-year and in line with our previously discussed estimate. During 2025, we invested $32.8 million of CapEx for new market expansion projects and $10.3 million for integration activities. For 2026, we expect capital expenditures to remain substantially consistent with 2025 levels. We generated $516.5 million of adjusted EBITDA less capital expenditures or free cash flow during 2025. In 2024, free cash flow was $567.6 million. Utilizing our substantial operating cash flows, supplemented by over $130 million of pretax proceeds from the monetization of certain equity investments, we prudently and opportunistically paid down a significant amount of our debt during 2025. In addition to $18 million of scheduled term loan amortization payments, we also voluntarily paid down the entire $313 million outstanding balance under our revolving credit facility and repurchased $72.4 million of our senior notes and term loans at very attractive discounts, bringing our total debt paydown to $403.4 million during the year. As you've heard us say, and more importantly, you've seen us do, we will continue to target paying down debt with a focus on deleveraging the balance sheet. As of year-end, we had $152.8 million of cash and equivalents on hand, and our total debt balance was approximately $3.2 billion, consisting of approximately $1.7 billion in term loans, $920 million in convertible notes, $582 million in unsecured notes and $3 million of finance lease liabilities. In addition, our $1.25 billion revolving credit facility was fully undrawn as of year-end, providing us with a significant source of committed debt financing. Our net leverage ratio on a last quarter annualized basis was 3.9x. Approximately 85% of our debt contains fixed or synthetically fixed base interest rates that are substantially below current market rates. Although we have ample capacity under our revolver to retire our convertible notes that mature in March, and we have the ability and the capacity to affect the MBI transaction without needing additional external financing. We continue to actively monitor and evaluate the capital markets for opportunities to proactively affect longer-term capital solutions. Touching on 2026 for a moment. We currently expect our cash income taxes to be between approximately $40 million and $50 million as we continue to track towards cash tax savings of approximately $120 million through 2027 as a result of the tax legislation passed in 2025. And finally, I want to say a few words on our recently announced transactions. In early January, the MBI put option was exercised, and we entered into a purchase agreement to acquire the remaining 55% of MBI that we don't already own. In 2025, MBI generated $308.9 million of revenue and had approximately 206,000 residential and business data customers across a network spanning approximately 674,000 passings as of year-end. Assuming the acquisition closes on October 1, we estimate that the MBI purchase price will be approximately $480 million and that the amount of MBI's total net indebtedness at closing will be between $845 million and $895 million, resulting in a pro forma combined leverage a little above 4x. In anticipation of the closing of this transaction, our teams have been mobilizing for months to proactively prepare for a swift and efficient integration. And as also previously announced earlier this year, we were part of an agreement whereby 2 of our remaining nonconsolidated strategic investments, Point Broadband and Clearwave Fiber will be coming together in a scaled fiber-to-the-home platform. In conjunction with this transaction, we have agreed to roll over our existing equity investment in both Point and Clearwave and remain a meaningful shareholder in this scaled and growing platform. The combination of these 2 businesses affords Cable One with greater visibility to investment value maximization, opportunities to drive best practices and greater operational efficiencies as well as bring greater alignment across the shareholder base as we continue to expand broadband access to rural and underserved communities across the U.S. This transaction, which is subject to customary closing conditions, is expected to close during the second quarter of this year. Before we open it up for questions, I want to reiterate that while the current environment remains competitive and dynamic, we are confident in the strategy we're executing in the direction of the business. Over the past several quarters, we've made deliberate investments in our people, our platforms and our go-to-market approach. With much of that foundational work now in place, our focus is squarely on execution, driving more consistent customer outcomes, operating efficiently and reinforcing the durability of our business model. With that, we are ready to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Greg Williams with TD Cowen.
Gregory Williams: Great. And welcome, Jim. I guess, Jim, the first question is for you. You laid out your priorities about deepening the customer relationship and converged offerings, which is helpful. But curious to hear your early learnings about the company as you've been there for the past few weeks, what have you learned about Cable One you can help us with? And the second question is just on the broadband trajectory. Todd, you gave us a lot of puts and takes as we think about 2026. You're going to go after value customers, which is pressure, but then you're going to go focus on speed uptakes, things like premium Wi-Fi, Tech Assist. So when I put that all together, I'm just trying to understand the broadband ARPU trajectory for 2026.
Jim Holanda: Thanks, Greg. Everyone, Jim Holanda here. Day 10 on the job, so take everything with a slight grain salt, but kind of early impressions and where I see opportunities. Cable One, great people, great teams, very focused on the competition, execution on the plan for this year, strong brand awareness of Sparklight in our markets, coupled with some really new creative marketing and an improving digital presence. They certainly have a sound go-to-market strategy with good segmentation and strong offers in place now that all the platforms have been standardized and the hard work the teams did last year. A very good underlying HFC network, almost 10% of the homes passed now actually being served with fiber-to-the home. On the cusp of launching the mobile product to 100% of the footprint here very shortly. The teams are actively involved and engaged with MBI in terms of integration planning. Todd, Jordan, the Board and the whole team made the right strategic decisions and have done a very good job on balance sheet management, ample capacity to deal with the convertible notes as well as the MBI close at a very reasonable cost of capital, so kind of executing from that position of financial strength, as I mentioned earlier. And where I kind of see opportunities here in the short time that I've been here, again, additional product sets to continue to add value to our existing broadband base. Obviously, mobile is a great example of that and have done that in my prior life. The AI tools that are available to the industry to help on ARPUs, operational efficiencies, customer satisfaction, sales productivity, other areas. Again, the good news is the team has already engaged those. They've already stood up some testing and trials on that. I think that's going to help. I think there's places to enhance certain of the sales channel based on my lived competitive experience, continue to monitor and evaluate the capital markets to proactively affect a longer-term capital solution in terms of the balance sheet is certainly on our radar screen as we go forward and continue to invest in the network to make sure that we're meeting the needs of our customers and that we remain very, very competitive. So those are my initial thoughts on the business, Greg. And Todd, I'll turn it over to you on the ARPU trajectory question.
Todd Koetje: Yes. Thanks, Jim. Great outline. Greg, I think what you were asking for was around ARPU. Is that correct?
Gregory Williams: Yes, broadband ARPU specifically.
Todd Koetje: Yes. So as we talked about in Q3, we saw a little bit of an elevated ARPU in Q3 that we discussed attributable to some of the changes as we were harmonizing a lot of the billing platform migrations. But when we released in Q3, we managed expectations around anchoring to that Q2 ARPU, which was $81 in a quarter and kind of plus or minus $1 to that, which we were within that, about $0.50 below that. I guess the headwinds in that were some of the ongoing focus on selling into all customers, that value-conscious customer cohort that we've discussed extensively, but also being much more aggressive in head-to-head competition, not only with fixed wireless, but also with fiber. We've taken some additional adjustments on certain pricing strategies, whether that be price locks, whether that be certain packages that have some free months, but really bringing about that customer acquisition that we knew would bring some of that down as well as an intense focus on retention, as you heard Jim say, and some of the initiatives of beating back some of the fiber competitors, especially the smaller, less scaled regional overbuilders who we can track by the neighborhood, and we can stay well ahead of the time that they're even able to offer services. So it's both the customer acquisition side as well as the retention side. But supporting that, as you alluded to in your question, gig sell-in remains in the 50% area. I believe we have continued opportunity there given our existing composite of gig customers is less than that. The premium in-home experience with Ero Wi-Fi 7 being launched, the security solutions, the Tech assist that we've talked about, those adoption rates continue to improve. And those are products that customers are self-selecting into with a willingness to pay and also demonstrating even a more preponderance to stay, which is improving churn and retention. And that helps support that ARPU. We also have AutoPayPlus. We rolled that out 2 years ago. We have opportunities to make minor adjustments on that, that can support ARPU as well. So we continue to think around that stability factor of where we are in kind of our current enterprise ARPU, but there's going to be puts and takes, and there's going to be some movement quarter-to-quarter.
Operator: Our next question comes from the line of Sebastiano Petti with JPMorgan.
Sebastiano Petti: Jim, congratulations. I look forward to working together. Just maybe kind of thinking about mobile. So I think Todd, in your prepared remarks talked about, I guess, a late 1Q launch or Jim, I'm not sure if it was in your prepared remarks. Just help us think about that. Is convergence maybe something, Jim, you see given the level of competition that I guess you have faced in your prior roles. Do you see convergence as more core to the Cable One strategy as you kind of think out the next couple of years, particularly in the context of the fiber overlap road map that you guys have talked about as well as getting to 80% over time? Is this more integral? And I guess, how do you see that evolving? And I mean what kind of take rates you're seeing even though it's kind of early days. So just more color on mobile and convergence and how it all fits together. And then I guess, just, Todd, a follow-up question. You talked about, I think, 15% of your footprint phases 2 gig competition. Any kind of color on the trend on how that has evolved perhaps over the last several years? Has that been relatively steady?
Jim Holanda: Sebastiano, it will be good to do some conversations going forward. Yes, look, mobile is integral. I think Comcast and Charter have proven that since their launch is, what, 6 and 7 years now, respectively. What I will say is it does take time for the customer base to get used to the idea of the cable company offering mobile. And that has been my lived experience. And I know some of the other midsized companies kind of face that same challenge. So it's not gangbusters necessarily right out the door. But again, I think we've seen a lot of what works and what attracts customers in terms of the others who have gone before us. It's pivotal in terms of how we think about the business and adding value to our higher ARPU existing broadband customers and being able to give them a great value and actually save them money on a month-to-month basis in regards to that. But it does take some time for people to get comfortable with that. And we'll -- we're very focused on it, and it's part of an overall broader strategy in terms of kind of digital transformation of the customer experience, not only mobile as an added product, but as Todd mentioned, the Tech Assist stuff that we're doing, the Ero Wi-Fi 7, all the things to deal with the needs of our customers' broadband needs and household communication needs are the things we're going to try to remain focused on to add value, reduce churn and stabilize the business.
Todd Koetje: And Sebastiano, on -- a little bit more on that. You mentioned the Q1, that is the target. The pilot, as you know, was really getting us operationally ready, making sure the enablement platform that we're partnered with had the capability sets around the billing, around the provisioning around the customer experience, the field process. We feel really good about that with the pilot. Recall that we set the pilot up in really 3 months, and we've been operating now for about 3 months in 6 markets. And as Jim mentioned, that's something that we intend to go company-wide with here yet this quarter. As it relates to your question around the multi -- or I think you said the 2-gig wired operators. It's a number we actually haven't disclosed in the past, that 15%. But effectively, that's where there was an overbuilder against DSL and our multi-gig capable broadband service and then ultimately or subsequently, I guess, better appropriately termed as the LEC upgraded that DSL. And that then results in 3 wired gig capable providers us being 1 of the 3. That number a couple of years ago was in the high single digits. So it hasn't moved much, but it's moved a little bit. Typically, what you'll find is when there's already 2 highly capable providers, most disciplined capital allocation platforms are not going to go and be that third. But if the LEC has upgraded after somebody is already built, you do see that move a little bit higher over time.
Operator: Our next question will come from the line of Craig Moffett with MoffettNathanson.
Craig Moffett: Jim, congratulations, and I look forward to working with you again. Let me just continue with some of the questions about -- I know you haven't been there long enough maybe to have all that many specific action plan items fully fleshed out yet. But you surely come with some preconceived notions about what might be possible. Is video part of the strategic tool set that you would say maybe we want to take another look at video now that the rest of the industry seems to be gaining some traction? Or is it that the programming costs that are available to you just aren't attractive enough to really make it a viable sort of turn of events, I guess, to reinvest in the video product?
Jim Holanda: Good to talk to you again, Craig. I think everything is on the table in terms of potential toolkits on how we retain customers and add value and attract new ones. We do not have access to the same programming arrangements that would put us in the same bucket as a Comcast or Charter, obviously. But what we do have access to is a lot of fast channel integrated options. at our disposal to enhance value for broadband customers. The NCTC has launched their streaming package, which is roughly a 40-channel very, very low-cost streaming option. And while I think Cable One kind of leading the pack on the video decisions almost a decade ago now was the right decision at the right time, and we'll continue to provide our IPTV streaming service for those customers that would still like to consume in that fashion. I think there are some interesting options to add value for the broadband-only universe that we have at little to no cost that we can take advantage of and put in our toolkit as well.
Operator: Our next question will come from the line of Frank Louthan with Raymond James.
Frank Louthan: So I guess more of a broader question. Looking at how you guys have divided up the space, clearly, there's obviously upside with the broadband subs. So what is the plan to get back to the positive adds? How long do you think that will take? And what's sort of the key factor that you see coming to Cable One that you think can get you there? And then one quick clarification. I think you mentioned you made the comment that FWA is ubiquitous across the footprint. Does that mean it's available widely across the footprint or fully across the footprint? Or just where it is available, it's got all 3 of the providers.
Jim Holanda: Let me address kind of the broadband question, and I kind of rattled through some of that in terms of my kind of thoughts and impressions and some of the opportunities. there is simply no quick fix on the broadband side. The entire industry is facing these kinds of headwinds. But I think when you add up all of these little things and are executing flawlessly on behalf of customers, that's what it's going to take. There will also be a point where competition kind of has reached it and then you're really battling on a connect-by-connect basis once it hits an equilibrium. And that -- I think that equilibrium has begun based on some of the FWA numbers that we've seen and the Opensignal data that we have access to. And sitting here trying to gauge day 10 into it when it's going to happen, really not in a position to do that. But obviously, we should have -- I should have probably some more color and feelings about that in future quarterly earnings calls. And then, Todd, if you want to handle the other question.
Todd Koetje: Yes. And Frank, I'll just add a couple of other things on that, right? As you know, for the last 18 to 24 months, we've been talking about transforming the business and investing in growth enablement platforms, right? Jim alluded to the unification of those platforms and what that allows us or affords us in the capabilities and the capacity to really start executing on those growth initiatives. We've talked about customer acquisition engine and actually developing that go-to-market playbook that was not really the Cable One of the past. And that customer acquisition being developed and now being executed on is seeing results. We had sequential connect improvement every quarter in 2025. Q4 -- in the first 3 quarters of 2025. Q4 was better on a year-over-year basis in connects and January continued that trend. So you had to start with adding new customers and having the playbooks, having the products, having the services to actually drive that new customer side and then maniacally focused on defending our base. The retention initiatives that we've launched are starting to also show signs of improvement. Obviously, Q3 last year, we had a heightened churn that we all talked about. We saw a meaningful improvement in those disconnects in Q4, and that has continued into 2026 with January that has improved year-over-year and sequential. We're going to continue to drive those types of trends and focus on expanding our penetration over the long term. But as Jim said, it's not a quick fix, and we're very focused on executing on that, bringing a more competitive mindset every day, not inherently characteristic of Cable One of the past or even a lot of cable companies for that matter, but bringing that kind of focus on the customer, focus on our communities in a much more competitive mindset. As it relates to FWA that you asked about, it is near ubiquitous from a single provider and there's markets where we have multiple providers. So when we say that, we mean that in almost every market, there's at least one. But in many markets, you have multiple. T-Mo is our largest overlap from a fixed wireless perspective, and Verizon and AT&T are a close second. As you recall, AT&T was a little bit of a laggard in launching that, but they've been very aggressive in markets where they have not upgraded their copper DSL to fiber. And we're putting in place the packaging and the services to compete head-to-head with that.
Operator: Our next question comes from the line of Brandon Nispel with KeyBanc Capital Markets.
Brandon Nispel: Todd, you might have just answered it or you're probably going to allude to this, but you obviously gave a lot of helpful color on sort of the gross connect trajectory, the churn trajectory. I think just broadly speaking, like what do you want us to -- how do you want us to think about the HSD net add trajectory for next year? Is it an improving trend, I guess, every quarter throughout the year, but still obviously negative throughout the year? And then I think more minutia here, but I saw a promotion more recently that was specifically targeted for customers of a small little market of yours in Emporia, Kansas, where you guys offered symmetrical speeds, a 6 gigabit service, a 3-year price lock and Wi-Fi included. I'm curious how many -- what percentage of the markets can you provide that type of service? And in those markets, do you see a big difference in terms of connect churns because that would sort of indicate where you are from a network standpoint.
Todd Koetje: Yes. Brandon, I appreciate the question on the HSD for this year. We are not providing guidance on the subscriber outlook for 2026. But I did give you how we're seeing at least some of the early trends in 2026, which I hope was helpful. As it relates to the network, the network is in great shape. As we alluded to in some of the prepared remarks, we have highly upgraded HFC. Over 50% of that is now multi-gig capable in our markets. We plan to be substantially complete on the multi-gig upgrade by the end of this year on our DOCSIS network. And in approximately 10% of the markets, we're fiber-to-the-home. We are the fiber-to-the-premise provider in Emporia. And your example is one of those. We have a smaller regional overbuilder that was looking at that and bringing our symmetrical 6 gig speeds with price locks, we believe will be a very strong approach to the retentive nature of the customers that trust us in that market.
Operator: Our next question comes from the line of Steven Cahall with Wells Fargo.
Steven Cahall: So Todd, I just wanted to talk to you a little more about the gross connects and disconnect commentary. So on gross connects, is that kind of driven by efforts you've made in subscriber acquisition and marketing? Or is it in response to efforts that you've made? I'm just trying to figure out whether kind of the market for gross connects have improved or if you've gotten more aggressive on go-to-market, and that's what's driving it, and you can maybe help us frame kind of how the market is for gross connects. And then on disconnects, I know you had the billing migration kind of disruption in the third quarter. Have you seen churn improve to kind of normalized levels or just kind of better on a quarter-over-quarter basis since I think losses were still a little bit elevated in Q4?
Todd Koetje: Yes. Thanks, Steve. I think it's a couple of the things that you outlined and very complementary, right? We've made a transformation in our team. And we reinvented our go-to-market strategies. We simplified our approach to the customer with pricing and packaging. We did become more intense on the branding and the sales and marketing strategies that wasn't the front foot that we had in the past. But we also had to make those changes to the team, and then we had to make those changes to the platforms that allowed us to be more agile in executing on those playbooks because you've heard us talk a lot about the people, the platforms and the playbooks, and that is really one of the key complementary things in terms of those new strategies that we believe is showing early results for our connects. As it relates to the disconnect side, what we talked about in the third quarter is that October had returned to the pre-platform migration levels, and that remained consistent throughout the fourth quarter and into January at those levels, while not to what we had seen in '23 and '24, which were some of the record levels of churn that we had ever had in terms of high retention, we're still focused on moving that down, but we are back to pre-migration levels that really impacted us in Q2 and Q3 of '25.
Steven Cahall: And then just on share, thanks for laying out that kind of view of the world and the headroom that you think you have on share. I mean you certainly do versus your bigger peers in residential. What do you think needs to happen for that to inflect? I feel like we've been talking about your penetration of passings for the last several years kind of being sub-40%. It seems like there's a lot of room for that to grow. What do you think sort of kicks it off into something a little bit higher?
Todd Koetje: Well, I mean, maybe alluding to what the answer I just gave is there's a lot of things we had to change, right? We had to change mindset. We had to change team. We had to change the platforms and invest in those platforms, which I know we all wish would happen in a quarter's time frame, but it doesn't. It was over the course of a couple of years. And we're building on that to focus on the long term of our fair share of the markets. We believe we're under-indexed but as Jim said, and I would echo, it's going to take time. And it's going to take the right amount of patience and the approach and the local service in these markets, even while the competitive environment remains right now very intense.
Operator: Our next question will come from the line of Sam McHugh with BNP Paribas.
Samuel McHugh: 100% I was on mute. There you go classic. And I was saying nice to have you, Jim. Welcome. In the last few calls, you talked about AT&T slowing down a bit of build activity. I wonder how worried you are that they were just waiting for the Lumen deal to close to come up with a bigger, more comprehensive fiber build plan in the combined footprint. I think if you could address that first. And then secondly, in your disclosure, you added now that a reduced stock price is a risk factor. I wonder if you could just give us a bit of detail on why you've added that into the forward-looking statement disclosure.
Todd Koetje: Sam, on the AT&T front, I would say pretty consistent with what we've said in the past. They are upgrading their DSL copper. I think there's a lot of prioritization around decommissioning that old copper plant, and we expect to see that continue. However, when they launched the fixed wireless product, they were able to also achieve some of the, I'll call it, decommissioning initiatives because you're moving customers you already have onto a different network and some of the smaller, more rural towns where it's more expensive to build, less dense in terms of the overall returns for that. We've seen them accelerate the fixed wireless side. So I think it's going to be a complement of both of those that we need to be prepared for in terms of how we compete on both of those technologies. As it relates to the disclosure, we're always going to put everything in a very fulsome manner in terms of what we believe are things that could create risk for the business. As Jordan's mouthful that kicks off these calls says, we're going to have that quite comprehensive. And so we're always thinking about things just to make sure we're very transparent and our communication is very clear.
Samuel McHugh: That's super. And can I ask a quick follow-up on the fiber overbuild. I guess we're all wondering what the terminal state of fiber overbuild is. I don't know if you guys have any updated views on how far it will go in your footprint.
Todd Koetje: Yes. I know it's a great question. It's definitely the, I'll call it, broader industry debate. I think you published on that even here recently. And the element of that is I think, disciplined capital allocation, cost in smaller markets, density in smaller markets, the related returns of those, the demographics of some of those markets, I believe we will have an impact on that as it relates to the specific Cable One markets. But undoubtedly, we will expect to continue to see that move up from where it is now. And that's why we treat every single market, even if we're the only gig provider in that market like it's hypercompetitive and earning our customers' trust, driving the right product, services and experience there because I believe this environment is all about the experience and the relationships. And as Jim said, deepening those relationships with our customers across the product portfolio.
Operator: This concludes our question-and-answer session. I'll hand the call back over to Todd for any closing comments.
Todd Koetje: Thank you, Regina. Before we wrap up, I want to thank our associates across the company for their continued focus, their grit and their determination to deliver on the critical commitments. Your commitment to our customers and communities, your commitment to bringing a competitive mindset every day and your commitment to authentically showing up for each other are collectively a very powerful recipe driving our long-term success. Thanks again for joining us today. Thank you to our stakeholders for your ongoing support of Cable One. Thanks, Regina.
Operator: Thank you. And this does conclude today's call. Thank you all for joining. You may now disconnect.